Operator: Welcome to the DraftKings Q1 2022 Earnings Conference Call. My name is John. I'll your operator for today's call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] I will now turn the call over to Stanton Dodge, Chief Legal Officer.
Stanton Dodge: Good morning, everyone, and thanks for joining us today. Certain statements we make during this call may constitute forward-looking statements that are subject to risks, uncertainties and other factors, as discussed further in our SEC filings that could cause our actual results to differ materially from our historical risks or from our forecast. We assume no responsibility to update forward-looking statements, other than as required by law. During this call, management will discuss certain non-GAAP financial measures that we believe may be useful in evaluating DraftKings' operating performance. These measures should not be considered in isolation or as a substitute for DraftKings' financial results prepared in accordance with GAAP. Reconciliation of these non-GAAP measures to the most directly comparable GAAP measures are available in our earnings presentation, which can be found on our website and in our quarterly report on Form 10-Q filed with the SEC. Hosting the call today, we have Jason Robins, Co-Founder, Chief Executive Officer and Chairman of DraftKings, who will share some opening remarks and an update on our business; and Jason Park, Chief Financial Officer of DraftKings, who will provide a review of our financials. We will then open up the line to questions. I will now turn the call over to Jason Robins.
Jason Robins: Good morning, everyone. On today's call, I will cover the following topics. First, we are very excited to welcome the Golden Nugget Online Gaming team to DraftKings. Since the announcement of the proposed acquisition in August 2021, our excitement around bringing these companies together has only increased. The acquisition closed yesterday, and we are well prepared to integrate our respective businesses, begin executing on our multi-brand strategy and capture adjusted EBITDA synergies, which we expect to reach approximately $300 million long-term. Second, we'll discuss our first quarter financial achievements. Revenue for the first quarter exceeded the midpoint of our guidance by $7 million, and adjusted EBITDA significantly outperformed our expectations, finishing more than 12% better than the midpoint of our guidance. Third, we see a stronger top and bottom line outlook for the year and are raising both our 2022 revenue and adjusted EBITDA guidance. Despite broader concerns around the macroeconomic environment and inflation, our cohort level data has remained very healthy and our path to profitability has become more clear. Legislative momentum has remained robust as well. Looking forward, we see strong top line growth continuing through the remainder of the year and beyond, coupled with continued optimization of our margin profile overall cost structure. Finally, I will touch on recent product developments in adjacent growth verticals. We are continuing to innovate and improve the customer experience by consistently adding new games and features, which we believe will ultimately support customer acquisition, retention and by extension player LTV. Additionally, we continue to make progress in media and marketplace, and we are very excited about the future prospects for both. Let's start with our acquisition of Golden Nugget Online Gaming. We are very excited to welcome the Golden Nugget Online Gaming team to DraftKings and have a well-designed integration plan that is already being implemented. The acquisition will allow DraftKings to leverage Golden Nugget's established brand to broaden our reach in new customer segments, particularly within iGaming. It will also enhance the combined company's iGaming product offerings through DraftKings' vertically integrated tech stack and Golden Nugget Online Gaming's unique live dealer capabilities. In addition, the transaction increases DraftKings customer database size through access to the more than 5.5 million members in the databases of the Golden Nugget 24k Club and Landry Select Club on top of the current DraftKings' database of more than 20 million accounts. We continue to have confidence that the combination of our businesses will result in long-term adjusted EBITDA synergies of approximately $300 million. Now let's turn to our first quarter results. DraftKings generated $417 million of revenue in the first quarter, which exceeded the midpoint of our guidance by $7 million. Revenue growth was primarily driven by our B2C business, which increased 44% compared to the prior year period. Adjusted EBITDA of negative $290 million in the quarter also outperformed our expectations by $40 million compared to the midpoint of our guidance. Part of the reason why we are outperforming our own expectations markets such as New Jersey have turned highly profitable and continuing to grow at an attractive rate. We have also identified efficiency opportunities and executed on them, which drove some of the outperformance in first quarter adjusted EBITDA. These efficiencies were up and down the income statement, including in our COGS, marketing and corporate fixed costs. The primary driver of these cost opportunities was faster growth in state expansion, which has allowed us to accelerate progress towards our plans for our long-term cost structure. Our Q1 adjusted EBITDA also benefited from corporate costs that shifted from Q1 to the remainder of the year. Consequently, some of the reduced costs in Q1 will continue to positively impact DraftKings going forward, while others are simply due to timing. Suffice it to say, we will continue to look for opportunities to accelerate the realization of cost efficiencies as DraftKings continues to grow at scale. Our key performance metrics, including user acquisition, retention and engagement, also continued to trend well. Q1 includes two marquee sporting events: the Super Bowl and March Madness. Basketball, both the NBA and college, also drew increased attention and interest throughout the quarter. The NBA has been strong, including when the NFL was still in play, while the Super Bowl saw tremendous customer engagement. For the Super Bowl, we set a single day record for first-time OSB betters, which increased 77% year-over-year. For the first weekend of March Madness, our first-time LSB betters increased 42% year-over-year. March Madness this year featured various player-friendly results overall, especially the exciting run by Saint Peters to the Elite Eight. Betters across the country backed the Peacock during their surprise run. This run contributed to our lower-than-forecasted OSB hold. Whole variance due to game outcomes resulted in approximately $25 million of reduced revenue in the quarter. First quarter monthly unique payers increased to approximately 2 million, up 29% versus Q1 2021. Average revenue per monthly unique player increased 11% year-over-year to $67. Notably, average revenue per monthly unique player would have grown approximately 26% if we adjusted both Q1 2022 and Q1 2021 for OSB hold. Cost of goods sold and marketing spend were both elevated in the first quarter, primarily due to our launch in New York on January 8. Gross margin percentage was also negatively impacted by sports betting hold during the quarter. With that, I will turn to our updated outlook for the business. We have several unique capabilities, including our growing DFS database, which is a great source of OSB customer acquisition; a decade of marketing know-how to acquire sports fans; our sophisticated data science and analytics organizations; our vertically integrated tech stack; top-rated products across all categories in which we operate; and single account and wallet. These capabilities are very difficult to replicate by other operators and are the reasons for a very attractive tax and strong share, which support our growth outlook for 2022 and beyond. We are raising the midpoint of our 2022 revenue guidance from $1.925 billion to $1.975 billion and improving our 2022 adjusted EBITDA guidance to a range of negative $760 million to negative $840 million. This increased guidance does not include the contribution of the Golden Nugget Online Gaming business nor does it include our contemplated launch in Ontario. Jason Park will touch on our preliminary expectations for GNOG in Ontario. I also want to spend a few minutes discussing the outlook beyond 2022. As a starting point, the pipeline for new states remains robust. As you know, following our launches in New York and Louisiana, DraftKings is currently live with online sports betting in 17 states that collectively represent approximately 36% of the U.S. population. Additionally, DraftKings is live with iGaming in five states, representing approximately 11% of the U.S. population. We also expect to go live in Ontario in the near future, pending life insure and regulatory approval. Ontario represents about 40% of Canada's population, and Ontario will be the fifth largest U.S. state by population if it were in the U.S. However, due to the presence of gray market operators, many of which have been present in Ontario for several years, we do not believe that the timing of our launch will have any impact on the share we are able to achieve in that province. There are three U.S. jurisdictions that have legalized mobile sports betting in which we are preparing to launch upon licensure and approval from regulators: Maryland, Ohio and Puerto Rico. These three jurisdictions represent approximately 7% of the U.S. population, and we'll bring the percentage of the population where Draftkings expects to offer legalized mobile sports betting to approximately 43%. In Kansas, which is about 1% of the U.S. population, a mobile and retail sports wagering bill has passed the legislature and is now pending executive action. We are also very excited by momentum in California. The approximately 1.6 million signatures submitted by Californians for solutions to homelessness and mental health support will likely allow us to qualify the ballot measure for the 2022 November ballot. This is a really important step. Once the signatures are verified, then the initiative will be placed on the ballot in November. And if the initiative passes with a simple majority, then it becomes law. From there, regulators will implement the framework, and we are hopeful that we can get live sometime in 2023, pending licensure and regulatory approval. California, of course, represents a significant revenue and adjusted EBITDA opportunity, with approximately 12% of the United States population. In fact, if California were a country, it would be the fifth largest economy in the world ranked by GDP. In short, from a legalization perspective, there is a lot to look forward to. Finally, I will touch on recent product developments in adjacent growth verticals. Our sports betting app continues to score very well in third-party surveys. Eilers & Krejcik recently published its quarterly report on U.S. sports betting and app rank. The firm tested 41 sports betting apps and rated each on user experience, betting interface, features, core and esthetics. DraftKings' app was tied for number one overall and was the top three for user experience, betting interface and features. We continue to believe that product innovation and quality of customer experience will create strong customer acquisition, retention and LTVs, giving DraftKings as a sustainable competitive advantage over the long term. Q1 was only the second full quarter since migrating to our own proprietary in-house technology platform, and we are pleased with the progress we have made not just with our sports betting app, but across our entire product portfolio. In the first quarter, we continued to deepen our content offer for OSB. For example, we added next field goal micro markets for the NBA and college basketball, which offers the ability to wager on the next field go type, next go team and whether the next two- or three-point shot will be made by the home or away team. We also added several player markets to our college basketball same-game parlay offering, including point score, assist, rebounds and three pointers made as well as combinations of these markets. In iGaming, our focus on cross-selling and in-house content development continued to pay dividends. In the first quarter, 43% of mobile sports betting users in our iGaming space also engaged with our iGaming product, and 54% of iGaming handle came from DraftKings' developed game. And in April, we launched our first DraftKings' developed slot scheme in New Jersey. With DraftKings Social, we have created an integrated and highly engaged community that allows fans to interact with each other within a peer-to-peer environment. In April, we launched betting groups, which are a seamless way to collaborate on a sports betting experience. Users can create a group and distribute the link for others to join. Once the group is created, all actions of the members who elected to share their best will be dropped into the group in real time, notifying group members with a link directly to that new bet. In fact, anyone in a league can remake their league as a sports betting group in our mobile sports book. And one task invite everyone in the league to their betting group. Imagine a group of friends watch March Madness or the World Cup from wherever they might be around a country, all engaged in all with the rooting interest and all of it happening via DraftKings. For Daily Fantasy Sports, in March, we added international auto racing lead, Formula One, to our portfolio of sport offer. This offering leverages the experience and success of our NASCAR Daily Fantasy product as well as the popular Netflix series. Turning to DraftKings Marketplace. We now offer options for NFTs in the marketplace in addition to regular drops. We introduced this additional mechanism for participants to access NFTs to broaden our appeal to a wider audience. We also now have a proprietary end-to-end in-house NFT factory, where we create our own content distributed on our marketplace through primary drops in auction. Users can buy, sell and collect NFTs on our secondary market to add to their collection sets and receive promotions and utility associated with certain NFT. Prior to March's NCAA basketball tournament, DraftKings Marketplace introduced the Primetime NFT Series, which is designed to deepen engagement with DraftKings during these defining moments. DraftKings' Primetime NFT Series collection includes proprietary and homegrown DraftKings NFTs that receive cross-product utility and bonuses only available at the DraftKings dressings ecosystem such as DFS tickets, BK dollars, crowns, automatic gold status tier in our loyalty program and sportsbook free back. We will continue to look for opportunities to develop our own content and work with high-quality third-party content suppliers, such as our relationship with Autograph and our recently announced deal with Metabilia. We also continue to build out our media vertical through content agreements with prominent voices within the sports industry, such as former ESPN and a hosting commentator, Mike Golic Sr.; Meadowlark Media personality, Jessica Smetana; and a championship-winning NFL executive, Michael Lombardi. Most recently, popular baseball personality and content creator, Jared Carrabis and former Notre Dame footfall player and television personality, Mike Golic Jr. joined DraftKings. Each of these agreements brings exclusive content such as podcast and in-depth commentary, which can only be found at DraftKings. I look forward to updating you on additional product development throughout the year. Before I conclude my remarks, I'd like to note that we recently marked our 10-year anniversary as a company. I want to thank my cofounders, Paul Liberman, and Matt Kalish; and all of our stakeholders, including our employees, both past and present; our customers; and our investors who help make all of our achievements possible. We also recently published our second ESG report. You can find the report on our Investor Relations website. The report focuses on our ongoing commitment to environmental, social and governance issues, including responsible gaming, the well-being and vitality of our employees and the communities in which they work and environmental sustainability. We believe our long-term success is sustained by our attentiveness to each and every one of our customers, employees, shareholders and communities, and we look forward to continuing to achieve meaningful ESG progress. I will now turn the call over to DraftKings' CFO, Jason Park, who will discuss our first quarter results and updated 2022 guidance.
Jason Park: Thank you, Jason, and good morning, everyone. We are really pleased to announce our Q1 results of $417 million of revenue and negative $290 million of adjusted EBITDA. Our B2C revenue grew 44% versus prior year as we saw a strong performance across our states. Our customers are very strong, with handle per active up in every single state versus prior year and no discernible sign of macroeconomic factors impacting our customers' engagement with our products. It's worth noting our revenue would have been roughly $25 million better, if not for some customer-friendly sport outcomes. MUPs increased by 29% to 2.0 million and ARPMUP increased 11% to $67. MUPs were up in all states with mobile registration available in both Q1 2021 and Q1 2022 as we continue to retain well and acquire new customers, and we're buoyed by new states we've launched since Q1 2021. ARPMUP was strong as well and would have been $71 were it not for tough hold. As most of you saw in the state data and in press reports, hold was lower than typical for the industry in Q1 due to sport outcomes. B2B was as expected, generating $13 million in the quarter due to the termination of our Asian reseller agreement. Gross margin rate on an adjusted EBITDA basis was 32%. Q1 gross margin rate was heavily impacted by the launch of New York, which had negative gross margin in the quarter due to Q1 being its launch quarter and, of course, the state having the highest tax rate in the country. New York accounted for more than half of our year-over-year decline in gross margin rate. Continued mix shift out of high-margin daily fantasy sports also impacted our year-over-year change in gross margin rate. Looking forward, I expect gross margin rate to settle at roughly 40% for the full year 2022 as promotional intensity declines in our more mature states, and we continue to reap the benefits from bringing our bet engine in-house. On adjusted EBITDA, I am pleased that we posted negative $290 million, which was $40 million better than the midpoint of our guidance range. Our better-than-expected Q1 adjusted EBITDA was driven by a combination of timing of expenses as well as true cost efficiencies, which will permanently improve our underlying cost structure. Sales and marketing expenses were up 40% versus prior year, due primarily to the additional states in which we operated versus Q1 of 2021. Tax continue to be very attractive and in line with our goal of acquiring customers for an amount less than their cumulative three-year gross profit generation. Product and technology and general and administrative expenses were up 53% and 56%, respectively, versus prior year, mostly due to higher compensation expense. As I mentioned last quarter, we have clear plans in place to have meaningfully slower growth in our fixed costs starting in 2023, which supports our overall path to profitability. During the quarter, we refreshed our multiyear plan and continue to have a strong conviction that under any realistic scenario state-launch timing, we have sufficient capital to achieve positive free cash flow comfortably. As a reminder, we continue to believe that at least 10 states will be contribution-profit positive in 2022, meaning those states would generate significant positive contribution profit in 2023. This trend, combined with a meaningfully slower growth rate in our fixed costs, sets us up for improved cash flow in 2023 and to not need additional capital. Looking forward, on our earnings call in February, we increased our 2022 revenue guidance to a range of $1.85 billion to $2.0 billion. Today, we are raising our revenue guidance to a range of $1.925 billion to $2.025 billion for 2022. The $50 million increase of the midpoint to $1.975 billion equates to year-over-year revenue growth of 52%, largely due to B2C revenue growth of approximately 60%. This guidance is based on the strong fundamental customer trends we are seeing and a return to normal hold for the remainder of the year. This guidance is only for the states in which we are currently live. We expect MUPs and ARPMUP to grow at a roughly equal rate in 2022 as in 2021. Our outlook for Marketplace in B2B is unchanged at approximately $70 million and $40 million, respectively. Regarding our 2022 quarterly revenue cadence, we expect Q2 revenue to be between $400 million and $420 million, which is slightly higher than the implied guidance we provided in February. We expect Q3 revenue to also be between $400 million and $420 million and Q4 to be $730 million to $750 million. You'll notice that cadence implies a relatively higher percentage of revenue being generated in the second half of this year compared to 2021. This is due to our expectation that New York and Louisiana will ramp up throughout the year and DraftKings Marketplace will hit its stride at the beginning of football season. Today, we are also meaningfully improving our adjusted EBITDA guidance from a range of negative $825 million to $925 million to a range of negative $760 million to $840 million, which represents a $75 million improvement in the midpoint. We performed $40 million better than our expectations in Q1 as a result of the timing of expenses that we now expect to recognize through the remainder of the year and efficiency opportunities that we have identified and captured across the P&L. The net impact of these efficiencies as well as flow-through of our increased 2022 revenue guidance results in the $75 million improvement in the midpoint of our 2022 adjusted EBITDA guide. From a quarterly perspective for 2022, we expect our adjusted EBITDA in Q2 to be between negative $140 million and $160 million due to the timing shift of expenses, offset by efficiencies. We expect adjusted EBITDA in Q3, which is impacted by the start of the NFL season, to be about double Q2, and we expect our Q4 performance to be the best for the year as we benefit from higher seasonal revenue. It is very important to note that our revenue and adjusted EBITDA guidance for 2022 includes all states in which we were live as of May 6, including New York and Louisiana, but does not include the impact of our acquisition of GNOG or any other new jurisdiction launches such as Ontario. For the full year, we expect that the acquisition of GNOG, combined with our expected launch in Ontario in the second quarter, would contribute $130 million to $150 million in revenue and negative $50 million to $70 million in adjusted EBITDA. For Q2, we expect that the GNOG business, combined with our launch in Ontario, would contribute between $20 million and $25 million in revenue and negative $35 million to $45 million in adjusted EBITDA, assuming Ontario launches in May. We are very pleased that underlying customer trends continue to be very positive and that we have identified and captured efficiency opportunities that, together, have allowed us to improve our 2022 adjusted EBITDA forecast. We feel terrific about our customer cohort gross profit paybacks as well as state profitability and thus, our trajectory for revenue and adjusted EBITDA in the short and long term. That concludes our remarks, and we will now open the line for questions.
Operator: [Operator Instructions] Our first question is from Thomas Allen from Morgan Stanley.
Thomas Allen: So in the first quarter, revenue came a little bit ahead of expectations while marketing was much lower. Can you just talk about what's going on with marketing? Where you're finding efficiencies? Where you're seeing opportunities?
Jason Robins: Thanks, Tom. It's a great question. I think we're starting to enter the phase where national advertising is going to be more and more of our mix and we are able to, through a series of tests that we've been conducting over the past few quarters, optimize out of some of the local television and other local marketing that we're doing. So, I think that's been a big source of efficiency there, and we expect it to increase, of course, as more states launch.
Operator: Our next question is from Jed Kelly from Oppenheimer.
Jed Kelly: Just circling back to GNOG and in some of their remarks, how should we think about what GNOG is going to do for MUPs and ARPMUP? And then Jason, I appreciate the commentary on all the state legislation. You didn't mention Massachusetts. I know, there's two competing bills. Could you give us an update on what you think about what's going on there as well?
Jason Robins: Sure. So on GNOC, just to remind everybody, the rationale -- strategic rationale behind the deal was really for us to be able to increase the audience that we'd be able to reach. What we found is that the DraftKings brand is very strong with a certain demographic of customers, particularly those that are sports fans. It's really more as a sports brand. We have had some success getting casino-first customers on, and we feel really good about the state of the product and have really great LTVs once we do get those customers on, but we think there might be a more efficient way to do it. And we also think there might be audience that we're not getting to right now. So that's really the goal is to go after that other segment to the iGaming market. And I think having a strong brand like Golden Nugget that really appeals to that segment of audience will help us increase our MUPs. As far as Massachusetts goes, we continue to be hopeful that there will be something done. This is obviously our backyard. So having our products be legal in the Commonwealth is very important to us. And just like any legislative process, even one in our backyard, it's always impossible to predict what's going to happen. And we continue to be hopeful and we continue to be ready and available to work with lawmakers should we be able to be of assistance.
Jed Kelly: And just following up on Golden Nugget. The gross margin guidance you called out, that does not include any impacts from Golden Nugget.
Jason Robins: No. We separately are guiding to the combined impact of Golden Nugget and Ontario. We want to provide more of an apples-to-apples view, so that we could highlight some of the cost efficiencies and also revenue outperformance we're seeing in the core business. And we -- separately, Jason Park shared some numbers around what we expect the combined effect of Golden Nugget and Ontario to be this year.
Operator: Our next question is from Shaun Kelley from Bank of America.
Shaun Kelley: I just want to go back to some of the comments around gross margin. Obviously, some clear one-time impacts in this quarter due to New York, and it sounds like hold as well. But Jason, if I caught the comment correctly, I think you mentioned 40% for the full year. I think your longer-term target, how's that number getting into the mid or even high 50s? Could you help us think about like the bridge and some of the pieces to see that step function or improve materially in the medium to long-term?
Jason Robins: Sure. So I think the biggest factor will be the lowering of promotional intensity, promotional intensity as both an impact to net revenue and margin because a lot of the costs that we see in the COGS lines come as a function of gross revenue. So naturally, having less contra revenue will bring up margin. Also, there are a number of other cost initiatives that we have underway, some focused on COGS, some focused on other parts of the P&L that we believe will improve COGS over time. So we think between the internal initiatives that we have as well as just the natural change to gross margin, due to lower in promotional intensity, you'll see us reach the long-term targets that we've set out.
Operator: Our next question is from Bernie McTernan from Needham & Company.
Bernard McTernan: Jason, I was just wondering, are you seeing any change in the promotional or competitive intensity in the U.S.? And is that impacting your strategy at all? And would love -- if intensity is falling off, just how you think about kind of like the diminishing terms of advertising spend, whether it's an opportunity for you guys to be more aggressive or keep your spend and keep share? Or is the opportunity to pull back and have more flow through to the bottom line?
Jason Robins: I think that's a great question. I would separate that into two things. One would be new user offers and the second would be tentpole events, such as start of NFL or Super Bowl. I think we'll always run promotions around those events. Those events are great for reactivating people. They're great for acquiring. I think that will always be a part of our strategy. And what we see is that a lot of the promotional dollars end up being put back into play, which increases the longevity of a customer, which is great. And it also is just really great for activating people during key times. So, that I think will continue. I do think that some of the very aggressive new user offers have started to taper off significantly. And we always stay disciplined. We never went nearly as far as we saw some of our competitors going with the aggression of new user offers. But certainly, a softening there will help, I think, the overall market and could lead to faster-than-expected reduction in promotional intensity versus previous -- previously what we may have thought.
Operator: Our next question is from Joe Stauff from Susquehanna.
Joe Stauff: Two questions, if I could. One is on Golden Nugget. And just wondering, it's always a well-managed company. As you suggested, it gives you access to a new consumer demographic and a high proportion of digital slots. They did rent all three pieces of their tech stack. And I'm wondering how quickly that software integration would take? And then maybe the second question is just on sports hold kind of going forward and maybe some of the product mix changes that you have and how to think about that the rest of the year.
Jason Robins: Can you repeat the second question, please?
Joe Stauff: Sure. I was just wondering for your OSB product offering and the product mix that you've realized to date, some of maybe the newer products that you would have that could move the sports margin higher going forward.
Jason Robins: Great. Thank you. So on your first question around Golden Nugget and the integration plan, one of the nice things about having a bit of a period between the announcement and the close of the deal is we have a really strong integration plan. So everybody knows exactly what they need to do to perform that migration.
--: But certainly, by the time of our next earnings call in August, we will be able to do that and intend to do so. And we expect that there will be a lot of synergy realized once we complete that migration. On the product side, I think it continues to be about pushing parlay and same-game parlays. We've only had the same-game parlay product for about six months or so now. It's been doing very well. We've added a lot to that offering. So, we're going to continue to find ways to improve that product and also continue to find ways to introduce it to our audience and ensure that they know how fun it can be. And I think that will be the biggest driver of upward hold. When we look at where we see some opportunities based on observations of competitors, almost all of the opportunity, we believe, is in driving higher parlay mix.
Operator: Our next question is from Jason Bazinet from Citi.
Jason Bazinet: I just had a quick question on the 10 states contributing or generating positive contribution margin this year. But is there -- would those just be the states that we would expect based on the launch date? And then given the lower promotions, the faster customer ramp you talked about on the last earnings call in advertising efficiency, has the rule of thumb sort of tightened in terms of how long it takes the state to generate contribution profits?
Jason Robins: That's a great question. On the first topic, we specifically list the states out in our March Investor Day presentation, which can be found on our Investor Relations website. I must confess, I will probably lose track if I try to cite all 10 off memory here, but we list them out. So I encourage you to go take a look there. On the second question, I think it's a great point. We are seeing faster ramp, which has resulted in more meaningful marketing and promotional investment upfront in some of our earlier states, but also appears to be leading to a faster path to profitability. So, we haven't put a new sort of game plan out there yet, but we are seeing that. And in the coming months, we may be able to say something about what that path to profitability time line can look like, but it certainly is moving in a positive direction.
Operator: Our next question is from Carlo Santarelli from Deutsche Bank.
Carlo Santarelli: I just want to go back to -- Jason Park, something you talked about a little bit about the growth rates on products and technology and G&A expenses. Obviously, in the quarter, and I'm making the adjustments for some of the noncash items, but core G&A was down fairly nicely sequentially. I'm assuming that's where some of the timing stuff lies?
Jason Park: Yes. On a sequential basis, Q4 versus Q1, I think the G&A reduction is more about the accrual of annual bonuses for the employees. That's going to be the big driver. In terms of timing shift, that was probably a bit more than half of the Q1 beat. And you'll see that come back in as recognized costs throughout the remainder of the year. It was throughout multiple cost categories, Carlo. It wasn't any -- it wasn't sort of disproportionately focused on any one category.
Carlo Santarelli: Okay. Great. And then just as you talked about kind of moving into '23, the comment was we would see kind of meaningfully slower expense growth. At some point in this year, do we anticipate perhaps some of those items start to level off on a sequential basis at least, and then you start to kind of straight line from there?
Jason Robins: So -- that's a great question, Carlo. Thank you. I think that we will see that start to happen a bit, but a lot of the growth that we're seeing year-over-year and, for example, compensation costs, comes from hires that were made throughout '21, which didn't have a full year of salary and benefits in '21, but due in '22. We already are focusing on leveling off headcount expense and also looking for other areas that we can manage expense better. So there are a number of initiatives underway. We don't have anything yet that we are ready to say is going to yield results, but there's a lot of effort focused there, and we'll have more to say on that in the coming quarter.
Operator: Our next question is from Michael Graham from Canaccord.
Michael Graham: Jason, you mentioned the New Jersey profitability profile, it was improving. And I just wonder if you could give a little more depth around like is that more on the revenue side or the marketing side? Or just kind of what are some of the moving pieces there? And sort of a related question, you're seeing nice ARPMUP expansion, and maybe just it'd be interesting to learn a little bit of kind of about the components of that ARPMUP expansion, like our players engaging across more sports? Are there wager sizes going up? Just sort of what are you seeing in terms of player behavior there?
Jason Robins: Thanks. I'll take the first question and Jason Park can take the second. So, on your New Jersey question, it's really up and down the P&L. We're seeing strong revenue growth that's a bit better than our expectations. And we're also seeing some of the cost initiatives that we've put in place play out throughout all the states, particularly the national advertising efficiencies that we're achieving. So, it's really up and down the P&L. And JP, do you want to take the second question?
Jason Park: Yes. Great question on ARPMUP deconstruction. First off, I'd just remind you that, that Q1 ARPMUP was impacted by that roughly $25 million sport outcome hold results. So when I think about normalized ARPMUP year-over-year, I adjust for last year's hold and this year's hold in terms of a growth rate. In terms of deconstructing it a bit more in terms of frequency or bet size, we're seeing it in both places. We're seeing our existing players, which give you a great baseline on a true full quarter versus full quarter, improving -- increasing frequency. Every customer is a little bit different, but we're seeing health in both frequency and average bet size.
Operator: The next question is from Dan Politzer from Wells Fargo.
Dan Politzer: Just a couple of state-specific questions. I was wondering if you can maybe quantify the drag New York was in the quarter. What would EBITDA have been at New York? And also one in Illinois, to the extent you can talk about any impact from the mobile registration restriction being lifted.
Jason Robins: You are right that those two things were EBITDA headwinds in the quarter. We think that both will lead to revenue outperformance down the road. So both are good things, but in the quarter certainly had negative EBITDA impact. At this time, we're not quantifying that specifically. We think that sharing how much we're investing in individual states would be of a competitively sensitive nature. So, we haven't done that. But you can certainly conclude that they were meaningful, and that our adjusted EBITDA would have been meaningfully better if we had not had those two events.
Operator: Our next question is from Chad Beynon from Macquarie.
Chad Beynon: Wondering, if you could touch broadly on trends within DFS either growth or contribution. I believe, in the back half of the year, you noted that it was still growing. I think it's probably more of a growth business during the NFL. But wondering how that business has changed and kind of how that's contributing to your 2022 guidance.
Jason Robins: It's a good question. So what we sometimes see with DFS is when state launches, there's so much excitement around sports betting that there's a bit of cannibalization. And we did see that in New York. Now in other states, we've seen that level off or even come back, which is why Daily Fantasy Sports continues to be a growing product, but too early to say whether that will continue in New York. We have no reason to think it will be different than other states though. But certainly, given the size of the DFS customer base and revenue in New York, it did have a meaningful impact on the quarter. And I think going forward, we're not necessarily assuming it will come back, but both, based on historical trends as well as innovations and expansion of that product such as the F1 racing games that we added, we do think there's no reason to believe that DFS will not continue to grow. But certainly, based on cadence of state launch timing, there can be in-quarter impacts to DFS, which are meaningfully cannibalistic because the new state often comes with lots of excitement over sports betting. And it also depends on the time of the year. As you noted, football is really great time for DFS, early NBA season. Back half of the NBA season tends to be a little lighter. So, I think that New York launch, coupled with that, led to a little bit of softness in DFS in the quarter, which, again, we're not assuming will come back. But based on historical trends, we believe it will.
Operator: Our next question is from Stephen Glagola from Cowen.
Stephen Glagola: Jason, following four NFL seasons, the industry remains concentrated around you, FanDuel and BetMGM, with some fragmentation largely around the remaining operators on a state-by-state basis. With the backdrop of depressed share prices, do you see further consolidation in the industry coming near term? And given the scrutiny around your EBITDA losses and to reach profitability, how does DraftKings balance exploring further M&A with executing on your current playbook?
Jason Robins: It's a great question. I think that certainly, it is quite possible that there will be further consolidation. I think that from our standpoint, we just made a very significant acquisition in Golden Nugget Online Gaming. We're very excited about that. And I think that's a template that fits the profile of what types of things we'd look for, something that's strategically complementary, not just a pure consolidation play, something that comes with a great team, which we're very excited about, Thomas and Warren and the team as well as, of course, Tillman and the contributions that he'll make and then also a strong business, a healthy business. Golden Nugget Online gaming is not one of these businesses that was burning a tremendous amount of cash. So it didn't come with a drag on our EBITDA of any significance. So those are the types of things that we would look for. I obviously can't speak to what other operators, who might be considering themselves consolidators, would look for, but that's the type of thing that we would look for.
Stephen Glagola: I appreciate that. And then if I can squeeze in one more. Could you provide any update on what you're seeing on iGaming legislation? Or do you see any catalyst to increase states going live with iGaming over the next 12 to 24 months?
Jason Robins: Yes. That's another great question. So we've obviously seen tremendous momentum in the sports betting legislative world. iGaming, we've seen several bills introduced but haven't seen much movement since Connecticut legalized back in Q4 of last year, so -- or launched, I should say, back in Q4 of last year. So we are continuing to press forward there. But as we've always said, we expect sports betting to be the main focus for legislators. And then as those states get more comfortable, I think, more iGaming bills will come through. And that's been a pretty consistent view we've had for a while. And we actually have been pleased to see that there's been some acceleration there given that several states have just decided to do sports betting and iGaming together. But we continue to believe that it will be sports betting-led for the next year or two and that more and more momentum will begin to build around iGaming over the coming years.
Operator: Our next question is from Robert Fishman from MoffettNathanson.
Robert Fishman: Can you expand on how building out your media vertical with the new personalities and the exclusive content that they bring helps drive the incremental engagement to your platform? And maybe how you measure the return on this investment? And then on a related note, is your preference to keep building out your media strategy organically? Or are you open to new formal partnerships with media companies or even expanding the existing ones?
Jason Robins: Thank you for asking. So I think we've always thought there were strong synergies between media and what we traditionally do on the gaming side. It's no secret that a lot of our customer acquisition comes from the marketing we do on media channels. So being able to drive some of that traffic organically, I think, is of great interest to us. And at the same time, we want the business to be able to stand on its own and to be able to make a profit. So that's the media business. So that's really how we're looking at it as can we build a business that works on both ends, both as a business that makes money and generate positive cash flow, as well as a business that will help create great synergies for us on the customer acquisition and retention side. As far as how we are exploring and are actively partaking in all those routes, some of what we do is organic. We also have great partnerships with several media outlets. We also have content partnerships with companies like Meadowlark Media. And I think for us, we recognize that there's a large world out there, and there's a lot of value in cross-pollination with content. So we remain very flexible on that front. I think there are certainly large scale, all the way down to medium-scale partnerships that we would consider that would add to some of the organic efforts that we're putting into this space.
Operator: Our next question is from Noah Naparst from Goldman Sachs.
Noah Naparst: This is on Noah Naparst for Stephen Grambling. As we look towards this summer and fall, are there any differences in the sports calendar we should be aware of when that comes to mind as the World Cup, which you touched on a bit? Any color on what those events could look like in terms of betting activity or hold? And then I have one follow-up.
Jason Robins: Sure. Yes, it's a great question. So I think the World Cup is the big one. I think there should be some decent betting on it. Obviously, around the world, soccer is a much more popular sport at this point than in the U.S., but it's been growing with popularity in the U.S., and I think that the World Cup often spikes that interest. So, we do have some hope that we'll see an increased volume there this year, and we'll just have to see. But naturally, there are other things that are a little bit different here and there, extra weeks of seasons and days and games, but nothing else that I see is very material.
Noah Naparst: Got it. And can you remind us of the NOLs you're carrying forward at this point in time?
Jason Robins: Do you want to take that one, Jason?
Jason Park: Yes. I'll have to get back to you on the latest and greatest number.
Operator: Our next question is from Ryan Sigdahl from Craig-Hallum Capital Group.
Ryan Sigdahl: Looking at guidance for Ontario and GNOG, it seems to imply minimal net revenue from Ontario. One, is that right? And then two, if you can deconstruct the two on revenue and loss expectations, that would be great.
Jason Robins: I think at this point, we are not planning to deconstruct it to because particularly, with GNOG, I mean we just closed it yesterday. And while we've certainly done a lot of diligence, there is some variance there. And so we felt it was better to kind of manage the two together as far as impact. I do want to point out that even when you take the most conservative end of our guidance for those two, we are still -- even with those impacts, which were not contemplated in our guidance last quarter, we're still better with our new guidance plus those impacts than we were last quarter. So great to see that some of the cost efficiencies that we're identifying are able to effectively fund new state or, in this case, province launches as well as the absorption of an acquisition. So we're going to continue to look for ways to try to neutralize the impact of new state launches through identification of further cost efficiencies up and down the business.
Ryan Sigdahl: Great. One more, if I may. New York, I would assume it was decremental to average ARPMUP. Are you able to quantify that?
Jason Robins: So New York, we are not quantifying any specific state impacts at this point. I do think you are correct that, due to it being a launch quarter and having promotional investment, that there was some negative impact. That said, we've also seen a fairly high level of handle per active come from New York as well. So, it may not have been as significant as you think, but it certainly did have some impact.
Operator: And our next question is from Barry Jonas from Truist Securities.
Barry Jonas: Jason, how are you thinking about DraftKings entering Nevada retail and OSB now?
Jason Robins: Well, we've been very interested in Nevada. And right now, we're exploring opportunities there. It's obviously a state that attracts a lot of attention because of its association with gaming. There's a decent-sized market there in terms of online sports betting. That said, there's also some things that make it a little bit less integrated with our business, such as the need to have in-person registration to open a mobile account as well as some processes that make it difficult to connect wallets and apps with the rest of the country. But we are certainly interested in Nevada. We are looking into it. And I think that if the opportunity presents itself, we'd love to be able to offer customers in Nevada, our products.
Jason Park: Just to jump in on the question on NOLs, I was just checking ensuring that we did not disclose the latest NOL number for the Q. But if you refer back to our 10-K filed in mid-February that was just around $800 million.
Operator: Our next question is from Clark Lampen from BTIG.
Clark Lampen: I have one on Marketplace. Jason, you talked about Marketplace really hitting its stride around the NFL season. I'm going to guess that, that's not because you expect an inflection in sort of more memorabilia-oriented NFTs. So maybe it's the utility focused ones that you were talking about. So, could you give us a sense of maybe, one, whether that factors it; two, the way in which some of those utility-oriented NFPs could actually integrate with the gaming-focused businesses?
Jason Robins: Thank you. Yes, I think you're exactly right. So a few things. One, we just recently developed some in-house content creation capabilities and also built some back-end infrastructure to be able to tie benefits on sports betting and Daily Fantasy and even iGaming to ownership of NFT content we create. And the way we're seeing the market move, it really is important to have utility. There are certainly some that are working purely as collectibles, and that will continue to be a segment of the market. But I think a lot of the growth will be in utility-based NFTs. The second thing is, in addition to our in-house content we're producing, we also, just a little while ago, announced a partnership with the NFLPA to create NFT-based Fantasy games. So we think given the size of our Fantasy audience and the success we've had early on with NFT, that will be a really big product for us and could be something that really opens up to a much larger audience.
Operator: And our next question is from Robin Farley from UBS.
Robin Farley: I was wondering if there's a way to quantify how much of the lower hold was maybe kind of marketing like offering more favorable odds rather than just purely the sport outcomes, if you could give us a sense of that?
Jason Robins: Sure. What we've shared is that about $25 million of revenue hit came from purely sport outcome. So that's the number we've shared. And I think other things you can attribute if you are identifying any other questions around hold to other factors. But $25 million was the impact that came from game outcomes, which interestingly was the other way in Q1 last year. So, as you look at year-over-year comps, it's affected not only by that $25 million hit in game outcomes this year, but also favorable game outcomes in Q1 of 2021 that had a positive impact on hold.
Robin Farley: So, you're not breaking out anything withhold that's related to kind of marketing costs, anything like that?
Jason Robins: No. We typically don't share those types of details as some of the promotional and marketing tactics we've tested into over many years are things that we deem to be very competitively advantaged for us. So, we don't typically get into breaking down that element of the business.
Robin Farley: Great. And then also the comment on the call, I think you talked about handle per active was up in every state. And I know your ARPMUP is up, but just going back to the states where it was in both periods. Can [Technical Difficulty] amounts of that for net gaming revenue per user on that sort of comparable like same-state basis?
Jason Robins: Sorry, you broke up a little at the end there. Can you repeat that last part of the question?
Robin Farley: Sure. In the opening comments, there was a mention that handle per active was up in every state, right? In other words, states that were legal in both periods. And so, we're just wondering how that would look for net gaming revenue. Just thinking about there are some states that had net NGR declines, even though handle and GGR was up. And so just wondering if that's showing up on a per user basis as well for you.
Jason Robins: The reason that we saw -- ARPMUP, one of our KPIs, is based on net revenue. So the increase we saw there year-over-year is definitely reflective of the positive momentum we see in growth of net gaming revenue in each state. Of course, with anything, there's always places where one or two here or there may be up or down. But usually, those are for explainable reasons. So for example, in Illinois, where we had the re-launch of mobile registration, there was a much more aggressive new user push with contra revenue-generated promotions that didn't exist in Q1 of last year. But for the most part, the ARPMUP increase, which is NGR, is cross forward and cost base.
Operator: Our next question is from Joe Greff from JPMorgan.
Joe Greff: You mentioned that the year-over-year growth in MUP was driven by retention. I was hoping you can help quantify that on everything, excluding DFS in the quarter and how that trended in 1Q relative to the past few quarters? And then, my second question is probably more for Jason Park. Can you talk about the relationship between EBITDA losses and cash burn? I know this quarter the cash burn was a little bit higher than EBITDA loss. Some of that can be explained by CapEx and some other investing activities. How do you see that trending over the next year?
Jason Robins: So on the first question, ARPMUP was definitely up due to both retention and an increase in player handle growth. So, it was both that contributed to that. And we haven't, at this time, deconstructed those, but we can share that both contributed. As far as the product level question, same story, all products were generally up. But DFS, as we noted earlier, did see some cannibalization. So you can infer based on that, that if we excluded DFS, ARPMUP growth would have been higher.
Jason Park: Yes. And in terms of your question on EBITDA to free cash flow conversion, I think you listed out a few of the buckets. Capitalized software, which is really DraftKings' primary CapEx, should be fairly steady, if you look at the quarter quarterly trends for the last few years, I think that's a very extrapolatable number going forward. Other than that, you'll see some one-time upfront state licenses impact free cash flow and any significant vesting of employee stock, which you saw around the low-teen million impact in Q1, but that will purely depend on timing of vesting. I would say that those are the three big things to look for EBITDA to free cash flow conversion.
Operator: And we have no further questions at this time. I'll now turn it back over to Jason Robins for final remarks.
Jason Robins: Thank you all for joining us on today's call. We had an excellent first quarter. We continue to be very excited about 2022 and look forward to speaking with you all over the next few weeks. The Company continues to be focused on strong top line growth and also on cost optimization, and we're really excited about a number of initiatives we have underway in both those categories and look forward to sharing more with you in the coming quarter. I hope you all stay safe and well, and thank you for joining us today.
Operator: Thank you, ladies and gentlemen. That concludes today's call. Thank you for participating, and you may now disconnect.